Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Third Quarter 2017 Results Conference Call. With us on the line today we have Mr. Yuval Viner, Co-CEO of the company and Mr. Eyal Cohen, Co-CEO and CFO of the company. All participants are at present in listen-only mode. Following Management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded and will be available on the BOS website as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events for the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of the changing industry and market trends, reduced demand for our products, the timely development of our new products and the adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now like to hand the call over to Mr. Yuval Viner, Co-CEO of the company. Mr. Viner please begin.
Yuval Viner: Thank you and good morning to all our listeners in the U.S. and good afternoon to those who are joining us from Europe and Israel. We are very pleased to upgrade our focus for year 2017 and we are proud that our performance are growing better year-by-year especially in the period and in the economy environment where the U.S. dollar was significantly devaluated against the Israel Shekel where social cost on employees increasing and with significant currency fluctuation. On the other hand major portion of our revenues come from strong and growing economy such as India and Israel. Now I would like to turn over the call to Eyal Cohen.
Eyal Cohen: Thank you Yuval. First I am pleased to note an increased interest in our company evidenced by big trading volume in our shares and also a larger number of participants on this call. We have on the call right now 15 participants. This motivates us in our efforts to grow the company for the benefit of our shareholders. Regarding our future growth, currently we have more than 1800 active customers which is a very good platform for additional products, revenues, and profit. We are working extensively and carefully on expanding our system integrations capabilities by entering into new sales on our customer side. We believe that this milestone is achievable by acquisitions and we are working on it. From a financial perspective, we are in a financial position, with streaming the loans [ph] $1.8 million cash in last 12 months EBITDA of $1.3 million. Thank you.
Operator: Thank you sir. [Operator Instructions]. First question is from Rafi Gefen [ph]. Please go ahead.
Unidentified Analyst: Hi, as you all remember I have been an investor in the company for many years. I just listened to the history and I saw that I had a position in the company's stocking in 2002 I think and since then it has been rough to… [Question Inaudible]. [Technical Difficulty]
Yuval Viner: Okay Rafi, thank you for the question because there are more participant. We understand your point and I will…
Unidentified Analyst: [Question Inaudible].
Yuval Viner: Okay Rafi, thank you very much. Thank you very much for your opinion. First there is a shareholders meeting next week so you are invited to come and to share your vote. And second Rafi if I may please, if I may please second, just to get into proportion in the recent -- just in the recent two weeks or recent months the total volume of the shares I think it was about more than $10 million. I am not counting from the beginning of the year. And from the beginning of the year we raised about $600,000 so we take it into consideration and in the right proportion and those and the money that you raise has no -- any effect on the share price. We believe that the only effect on the share price is the performance and exposure of the company to the investment community. And on the long-term it will work, this is our belief. Thank you. For the next question if I may, sorry Rafi there are more -- there are about 15 participants. I understand your point. We are moving to our next question from other participant please.
Operator: The next question is from Todd Felte of RHK Capital. Please go ahead.
Todd Felte: Thank you guys, great quarter. Glad to see you up the guidance on the net income there. You had mentioned at the beginning of the call that there was a little bit of a currency loss that you took I believe from the Shekel to Dollar conversion. Can you quantify how much that was?
Eyal Cohen: It was about $250,000 [ph] in the nine months of the year.
Todd Felte: Okay, and you can't break that down by quarter?
Eyal Cohen: You can take it evenly because it was gradually devaluated so if we made in the nine months $450,000 so excluding the $150,000 we could end with $600,000.
Todd Felte: Okay, and second of all can you kind of -- there is a lot of recent talk and chatter about a potential deal that was even picked up on some of the American newswires with an Intel and Mobili. Are you able to comment on that or at least say if that is -- if there is any truth to that at all or if you are working on some more contracts with these guys?
Yuval Viner: About what, I didn’t get you again.
Todd Felte: There was a news release, it was covered by several of the American newswires a week or two ago, that you are in talks on working on a large contract with the Intel and Mobili, is there any truth to that or…?
Yuval Viner: No.
Todd Felte: Okay.
Yuval Viner: There isn’t.
Operator: [Operator Instructions]. There are no further questions at this time. Before I ask Mr. Viner to go ahead with his closing statement I would like to remind participants that a replay of this call will be available on the company website at www.boscorporate.com by tomorrow. Mr. Viner would you like to make your concluding statement.
Yuval Viner: Yes, thank you. Our next quarterly call will be held on March 18 and will include a summary of year 2017 results as well as our outlook for the year 2018. Thank you all and please feel free all of you to contact us with any other question that didn’t raise during this call. Thank you.
Operator: This concludes the B.O.S. third quarter 2017 results conference call. Thank you for your participation. You may go ahead and disconnect.